Operator: Good day, ladies and gentlemen, and welcome to the G-III Apparel Group, Ltd. Fourth Quarter and Fiscal Year 2013 Earnings Conference Call. [Operator Instructions] And as a reminder, today's conference is being recorded for replay purposes. I would now like to turn the conference over to your host for today, Mr. Neal Nackman, Chief Financial Officer. Sir, you may begin.
Neal S. Nackman: Thank you. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees, and actual results may differ materially from those expressed or implied in forward-looking statements. Important factors that could cause actual results of operations or the financial condition of the company to differ are discussed in the documents filed by the company with the SEC. The company undertakes no duty to update any forward-looking statements. In addition, during the call, we will refer to adjusted EBITDA and non-GAAP net income per share, which are both non-GAAP financial measures. We have provided a reconciliation of non-GAAP net income per share and adjusted EBITDA to our net income per share and our net income according to GAAP in our press release and on our website. I will now turn the call over to our Chairman and Chief Executive Officer, Morris Goldfarb.
Morris Goldfarb: Good afternoon, and thank you for joining us. With me today are Sammy Aaron, our Vice Chairman; Wayne Miller, our Chief Operating Officer; Neal Nackman, our Chief Financial Officer; and Jeff Goldfarb, Head of our Business Development. We finished the year with a good fourth quarter. Revenues in the quarter were $375 million, up 28% compared to last year. Adjusted net income per share, which excludes costs associated with our acquisition of Vilebrequin increased to $0.41 from $0.25 per share last year. Diluted earnings per share increased to $0.40. Revenues for the full year were $1.4 billion, up 14% compared to 2011. Adjusted net income per share for the year was $2.92, up 18% from $2.46 in 2011. These numbers represent across-the-broad strength to the business and the sustained pace of strategic development and diversification. Let me first give you a quick rundown as the major drivers in our business. Outerwear, which is now less than half of the total business, again, for the year and the fourth quarter, finished up in good shape. Sportswear, women's suits, handbags and dresses each had a good season. From a brand perspective, Calvin Klein lead these advances but several brands including Kensie, Eliza J, Guess?, Dockers and Levi's also performed well. I want to call out a very strong performance from our team sports business. Net sales and operating profit for this business were up 30% and 290% respectively. NFL, with our newly expanded license, had one of the best years in recent memory. In Team Sports, we had a strong increase in both outerwear and sportswear. We were pleased to see a quarterly 12% comp store increase at the Wilsons -- at Wilsons, which contributed to our performance. In the year ahead, we believe with we can continue to create productivity and margin improvement in our Wilsons retail stores. I'd also note that we were pleased to add revenues from Vilebrequin in this year's quarterly numbers, as I will describe, we're on a good growth path with this premier status brand. Our balance sheet remains strong and will support continued growth. Our strategy for the next several years will be to focus on growth, both organic and from acquisitions. As we execute both of these pieces, we will continue to diversify by brand, category and gender. As we diversify, the Calvin Klein brand is important to our overall business. This past year, the 8 product licenses we hold with Calvin Klein represented approximately 45% of our total wholesale revenue. Our relationships with PVH and Calvin Klein had never been stronger. As we've previously mentioned, the terms of our licenses are now approximately 8 years. In addition, we've just signed a new license for Calvin Klein ladies and men's swimwear. We're very excited about this new business and we expect to begin shipping product toward the end of this year. We're most appreciative that PVH and Calvin Klein always consider us for new opportunities. I'd now like to quickly discuss the performance of our major categories and brands and how we see them developing over the course of the next year. Our outerwear business did well relative to last year. We're very pleased with the way we flowed product and maximized our sales productivity with much more efficient levels of inventory. While total outerwear revenues were down slightly this year, this is largely by design and we're pleased with the outcome of the full season. Standout brands for this season include Calvin Klein, Levi's, Dockers, Tommy Hilfiger and the new Jessica Simpson launch. Also, as I have previously mentioned, our Team Sports business did extremely well, especially in coats driven by our NFL business. Dresses, which has quickly become one of our largest categories, continue to perform well. Calvin Klein continues to be the strongest brand in this category. The placement is excellent, the fixturing is very effective and the talent we have in design, merchandising and sourcing is driving a great response from consumers. We're pleased to also have seen strong results in the solid ongoing trend with other brands in this space including Eliza J, Guess? and Ellen Tracy. Jessica Simpson has almost doubled from last year and now has a significant presence at retail. For each of these brands, we're applying best practices. Across the business in 2013, we're confident we will see another good year through increased penetration, faster sell-through and additional doors. Dresses have been selling well for spring and our collections have never looked better. Our sportswear business showed excellent improvement this year. The net sales in this business including Kensie is up 45% from the prior year. Sportswear is anchored by Calvin Klein. Our Calvin Klein Performance business had another strong year. I want to note that in addition to the domestic business, in China we should be up to approximately 12 stores by the end of 2013 with our Calvin Klein Performance joint venture partner. Our Calvin Klein Better Sportswear business also had a strong year, especially in the second half. We expect the momentum to continue into this year. We're also reinforcing our efforts in sportswear as a category with our Kensie initiative. We have developed a new collection under the Kensie umbrella that is specifically targeted to the younger contemporary market. We believe this is another opportunity for us. In general, we're continuing to work toward a lifestyle presentation with Kensie that will also include handbags of the end of the year. Overall, we're very pleased with what we accomplished in sportswear during 2012 and we're excited to keep pushing forward. Sportswear bookings are up significantly and we have good momentum that we expect to carry us all the way into fall. Our handbag business, which is among our newer category initiatives, also had a good year. Net sales were up 40% over the prior year. Calvin Klein handbags performed well this past season and we achieved our overall growth plan for the business in 2012. We expect to build on this success and see another year of growth in 2013. We have some exciting new fixturing programs and we expect to open up several new shops at major retailers. Bookings in the category are up double digits for the coming year. We're currently in about 1,000 doors, up from 800 last year. We continue to believe that we have an opportunity to build a total handbag business with a multi-brand approach that, over time, could be among our most important. Calvin Klein Women's Suits and suit separates continue to be among our fastest-growing businesses. We're very pleased with the progress we've made this past year. The net sales in this business were up 64% from the prior year. We've devoted additional personnel to this effort as this business has a lot of momentum. [Technical Difficulty]
Morris Goldfarb: I'm going to -- you have to forgive me, I'm going to back up a little bit because unfortunately, we were disconnected so I'm going to guess, I'm going to guess backwards a little and go back to our Wilsons retail business. Our Wilsons retail business turned a corner this past year. Full year comparable store sales increased by 12.6% and our average sales per square foot were approximately $350. This is strong progress but what we want and we expect to build on this and we're even going to do better. We're working toward higher contribution margins and stronger cash flow. Even so, our unit economics are now sufficient to support renewed store growth and we're planning to open approximately 20 new locations in 2013. With regard to our larger corporate strategy, I'll note that the Wilson's business is also important because it supports development efforts for our other brands that have a specialty retail component: Vilebrequin, CK Performance and Andrew Marc. We're confident that Vilebrequin, our newest acquisition, will ultimately prove to be amongst our fastest-growing and most profitable initiatives. The leadership we have in place is excellent. We're very excited that this status brand is now led by some of the best brand builders in the world. We're focused on growth and on making the necessary investments in personnel, infrastructure and marketing to capture a substantial opportunity in both retail and wholesale. In retail, we will build on a strong performance of our company-owned stores and expect to add approximately 5 to 7 new doors this year, up from 60. In wholesale, we're excited about a new shop in shop concept that we think will reinforce the strong position of the brand. In addition to growth in men's and boys, we have already begun designing into new resort-oriented categories. Among these is a planned launch of women's swimwear for holiday in a select number of stores. In the franchisee business, we're focused on communicating to them how to also leverage these investments and to improve and capture the same level of productivity we're achieving in our own stores. As of today, they are not, and we see this as a significant opportunity. The level of excitement throughout the organization for all these initiatives is high and we're looking forward to 2013. I'd like to wrap up my comments by talking about our competitive licensing agreement with Ivanka Trump under which we plan to produce many categories of women's apparel. We think this brand has a significant opportunity and is a major initiative for G-III. We've built an outstanding team to execute this initiative and we're planning a fourth quarter launch in a number of categories supported by a strong marketing effort by Ivanka Trump. We believe the consumer will respond extremely well to the fashion and the value for this brand. Additionally, we think Ivanka's strong personality resonates extremely well with today's young modern women. We're excited for this and we're pleased to have her full support and believe this can be an important comprehensive lifestyle collection. Thank you. I'll now turn the call over to Neal Nackman, who will provide you with the details on our financial performance and our initial guidance for the year ahead.
Neal S. Nackman: Thank you. For the full fiscal year, we reported net sales of $1.4 billion, an increase of 14% compared to last year's net sales of $1.23 billion. Net sales of licensed product increased 17% to $981.8 million from $840.7 million. And net sales of nonlicensed product increased approximately 2% to $281.9 million from $277.6 million. The fiscal year's results include our nonlicensed product segment net sales of $19.1 million from the operations of Vilebrequin for the stub period from August 7, the date of acquisition, through December 31, 2012. Vilebrequin's results will be included in our consolidated results on a calendar year basis. Net sales in our retail segment increased 19% to $196.2 million from $164.3 million in the prior year. Sales of our licensed product increased due to increases in the sales of Calvin Klein, the new Kensie and King Sports product lines. Increased sales of nonlicensed product were primarily attributable to sales from Vilebrequin while set in part by the decrease in net sales of our Andrew Marc product lines. The retail segment increases were from a combination of higher store count, as well as comparable store sales increases of 12.6%. Our net income for the year increased to $56.9 million or $2.80 per diluted share from $49.6 million or $2.46 per diluted share in the prior year. In the fiscal year, we incurred approximately $4 million, or $0.12 per diluted share after taxes, of expenses related to the Vilebrequin acquisition. When we exclude this cost from our net income, our adjusted non-GAAP net income per diluted share was $2.92 for the year. The overall gross margin percentage for the year was 32.3% compared to 30.1% in the prior year. Gross margin for the licensed product segment was 28.5% this year compared to 26.5% last year. For the nonlicensed product segment, it was 27.8% this year compared to 26.0% last year. And for the retail segment, it was 47.8% this year, compared to 46.0% last year. SG&A expenses for the year increased $64.2 million to $341.2 million. In addition to the operating expense increases from the midyear acquisition, as well as the associated acquisition-related expenses, we incurred higher expenses in payroll, warehousing and advertising. Our payroll expense increases were primarily attributable to costs resulting from the new and growing product lines and our increased retail store count. Higher outside warehousing costs were associated with our sales growth and increased advertising costs related primarily to increased cooperative spending that we incurred. Regarding our fourth quarter, net sales increased approximately 28% to $375 million compared to $294 million in last year's comparable quarter. Net sales of licensed product in the quarter increased 35% to $243 million from $181 million, primarily as a result of increased sales in Calvin Klein product lines and the introduction of our Kensie lines. Net sales of nonlicensed product increased approximately 10% to $77 million from $70.2 million. This sales increase was primarily attributable to our new Vilebrequin business. Sales in our retail operations segment increased 24% to $82 million from $67 million on last year's comparable quarter. This was from a combination of a higher store count, as well as a comp store sales increase of 12.1%. Our net income for the quarter was $8.1 million or $0.40 per share compared to $5 million or $0.25 per share in last year's comparable quarter. In the fourth quarter, we incurred approximately $400,000 or $0.01 share of expenses related to our acquisition. When we exclude this cost from our net income, our non-GAAP net income per share was $0.41 for the quarter. Our overall gross profit margin for the fourth quarter was 31.4% compared to 28.3%. The gross margin percentage for our licensed product segment was 24.7% compared to 21.1% in the prior year. For our non-licensed product segment was 24.4% compared to 21.3% in the prior year, and for our retail operations segment was 47.3% compared to 45.6%. SG&A expenses increased approximately $27 million. In addition to the expense increases resulting from operating our new Vilebrequin business, we incurred increased payroll, advertising and warehouse costs. Regarding our balance sheet, we are pleased that despite our cash expenditure of approximately $90 million this year in connection with the acquisition of Vilebrequin. Our year-end bank debt only increased to $65 million from $30 million last year. We also have approximately $20 million in long-term debt relating to promissory notes issued as part of the consideration for the acquisition. Accounts receivable at year-end were approximately $178 million compared to $163 million in the prior year. Our inventory at year end increased 11% to $281 million. For the 2013 fiscal year, we spent approximately $11 million on capital expenditures, which was primarily for the opening of additional retail stores and the installation of department store fixtures. We expect our capital spending to be between $20 million and $25 million in fiscal 2014 and that will be primarily for retail store development at Wilsons and Vilebrequin and fixed [indiscernible] cost with department stores. With respect to our guidance, for the fiscal year ending January 31, 2014, we are forecasting net sales to increase 11% to approximately $1.55 billion compared to $1.4 billion in fiscal '13. And net income to increase between $64.3 million and $66.4 million or between $3.10 and $3.20 per share compared to GAAP net income of $56.9 million or $2.80 per share and non-GAAP net income per share of $2.92. Our guidance reflects all of our investments in personnel, marketing and real estate for our new businesses. We are forecasting adjusted EBITDA to grow between 11% and 14% from last year to a range between approximately $126.5 million to $129.5 million and that's up from $114 million in fiscal 2013. With regard to the first quarter, ending April 30, 2013, we are forecasting net sales of approximately $270 million compared to $229 million. We're also forecasting a net loss between $600,000 and $1.5 million, or between $0.03 and $0.07 per share compared to a net loss of $847,000 or $0.04 per share in the prior year's first fiscal quarter. That concludes my comments and I will now turn the call back to Morris Goldfarb for closing remarks.
Morris Goldfarb: We had a strong year and we expect our momentum to carry into 2013. We're confident that we will have good sales and profit growth over the next several years. We have great organic opportunities and we'll continue to look at strategic additions to supplement our organic growth. Our goal is to continue to grow our licensed businesses led by Calvin Klein, as well as our own brands. We'll also look at more company-owned brands. In addition, we will build our retail business to complement our growing wholesale business. Our management team is strong. We have good execution and we have real good access to capital. As always, we remain very focused on building value for our shareholders. Our business partners, customers and consumers. Thank you very much for your attention today and your continued support and we're now ready to take some questions.
Operator: [Operator Instructions] And our first question comes from Erinn Murphy from Piper Jaffray.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: I guess Morris or Neal for both of you on the fourth quarter, I mean, very, very strong topline performance and good margin recovery. I mean, you alluded a little bit, Neal, to the higher SG&A spend. And I guess, curious on if you can help parse that out a little bit more on how much of it kind of incremental to Vilebrequin? And then if you think about the SG&A versus the gross margin in 2013. Clearly, there's increase spending for some of the new businesses you have, but just help us kind of appreciate we should think about the dynamic between those 2 lines and then I have a couple of follow-ups.
Neal S. Nackman: Sure. With respect to the fourth quarter, we are starting to make investment spends in the Ivanka business, certainly VBQ in terms of SG&A and some of our other -- the swim initiative as well. None of those were really out of the -- with things that we didn't plan for. We've been talking about those kind of increases in SG&A throughout the whole year. Turning to next year, I think, we, again, look at this point to not lever the SG&A as we look into next year. We're making so many additional spends in terms of the VBQ business, which has run to higher SG&A spend level and then our other internal businesses as well.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Okay, to that level though, with maybe starting with VBQ, if you think about the opportunities, I mean it does, on a higher SG&A, but very, very strong gross margins, a lot of opportunities longer-term. How are you thinking maybe, Morris, for you about a pathway to accretion for this brand and how should we be modeling that, I guess, for you, Neal, as well?
Morris Goldfarb: We're working very hard at developing this brand as a sustainable status brand in resort wear. We're building an amazing team. Everyday there's an addition that we're extremely proud of. We've revamped the entire company basically. We've added amazing financial people, marketing people, IT people and the brand building is second to none. We've got world-class people that are leading the charge. We've pretty much aligned the company-owned pieces. Those are profitable. They're showing growth, comp growth, basically, every single day. The pieces that we don't control as well that are important to the future of the business are the franchisees. The franchisees were left a little bit unattended by prior management. We're dealing with all the issues. We're training them differently. We're trying to help them to realign their inventories so they can prosper and we can prosper. So the effort now is to fix the franchise model, which is going to take us a little bit of time. So I wouldn't look at this as a major accretive year. It's the year that we're going to do all the right things to sustain the future for this amazing brand. The wholesale initiative, we've added some effort. We're spending a lot of money on designing fixtures that will be important to the growth of the brand. We have several initiatives planned. One major one with Galeries Lafayette in Paris, where we'll have 4-points of sale and we'll have a unique build-out that should bring an entry-level for us into the Asian market as Galeries Lafayette is a major department store that's shopped by the Asian community. And as we're building -- and we're planning on building Asia as a source of income, it'll be a great showcase for us. So circling back, I wouldn't plan on this as a major accretive year. But I'm planning on this as being very productive year for the...
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Thank you, that's very helpful, Morris. I guess just sticking with swimwear, I mean it's interesting that you guys are picking up the Calvin Klein ladies and men's swimwear business from, I guess, what was Warnaco, now, PVH. Just curious how you think about the strategy behind the transition. Are you going to be cleaning -- taking the opportunity to clean up some of the channel and reposition the brand? And then how are you thinking about kind of either relaunching or kind of the design element behind that? Is it going to be people from Vilebrequin that actually spend time on the design and development of this product? Or are there new people coming in-house to do that? And then I guess, longer-term, how big do you think that can be? [Technical Difficulty]
Operator: Erinn, go ahead with your question again.
Morris Goldfarb: Erinn, I'm sorry did you get what I was saying?
Erinn E. Murphy - Piper Jaffray Companies, Research Division: No. I'm not sure where we got disconnected, Morris, but my last question had been on just the Calvin Klein's ladies and men's swimwear line. You talked about expecting to ship it this year. I know for Warnaco it had been $20 million to $25 million business. Briefly, it was at PVH. Curious on how you're thinking about the timing behind or how you think about the transition? And if you're going to take some -- the opportunity to clean up the channel, either reposition the brand, and then who will be managing this internally, will it be Vilebrequin? Will it be new people, internally? Or how should we think about this kind of transition?
Morris Goldfarb: I'm not certain where you got the $25 million number. That would be my first question. I guess I don't need an answer to it. But as the brand will be managed by an independent team. It will have very little to do with Vilebrequin. We'll learn about fashion through Vilebrequin, but it will be a seasoned team, the same as we always do. As we build the platform, we hire the best and simultaneously, we were going to be launching Ivanka Trump as a women's swimwear brand as well. So we'll have positioning in all the department stores before you turn around as the dominant swimwear supplier. We know how to source it. We currently do some swimwear in similar price points through our team business where we ship both men's and women's swimwear. We'll have a separate design team and, as all the pieces do, they'll report to Sammy Aaron, all the Calvin pieces. So same leadership team but it'll have an independent operating effort that will be classification driven.
Erinn E. Murphy - Piper Jaffray Companies, Research Division: Okay, perfect and we'll expect it to be shipping, sorry, just to clarify, the second half of this year for Spring 2014?
Morris Goldfarb: Yes, it will be shipped. I wouldn't plan on a huge launch. But yes, it will be shipped. It's currently being designed and we will catch a tail end of spring. We're working on the appropriate real estate. We're working on a buildout component that should enhance the product and it won't provide a good -- it won't provide a lot of difficulty in placing. Most of the outerwear buyers are also the swimwear buyers in department stores, so our relationship should support the immediate exploitation of this brand.
Operator: Our next question comes from Edward Yruma from KeyBanc.
Jane Thorn Leeson - KeyBanc Capital Markets Inc., Research Division: This is Jane in for Ed. I was just curious, with swimwear coming online and dresses becoming stronger, how much will outerwear now become as a percent of total sales, I guess, this year and next year? I guess that's my first question. And then the second one was on inventory and dresses.
Morris Goldfarb: Well, I can't really give you the answer. All I can tell you is outerwear continues to grow. It's not shrinking. In pure dollar value, it will grow. The other pieces, because there's so many, it's going to grow at a faster rate that will bring down the percentage of the outerwear business. It's not that there's any weakness there, there's clearly strength. And our bookings for outerwear are stronger this year than they were in calendar 2012.
Jane Thorn Leeson - KeyBanc Capital Markets Inc., Research Division: So, does year meaning that's this coming -- fiscal '13.
Morris Goldfarb: The year that we're in, yes.
Jane Thorn Leeson - KeyBanc Capital Markets Inc., Research Division: And so the bookings for -- did the outerwear inventory plan for this coming fall is that greater than your plan -- what you had planned initially for last year or for this past year?
Morris Goldfarb: Our bookings for fiscal 2014, same time last year, our bookings this year are better than last year.
Jane Thorn Leeson - KeyBanc Capital Markets Inc., Research Division: Okay, so higher. And then in terms of dresses, what is the ultimate potential for dresses in terms of total business? How much further can it grow from here?
Morris Goldfarb: It can continue to grow at double-digit increases. We have several new initiatives that are growing. I could tell you that, as a percentage, they might double in size. And then we have Calvin Klein. It's a matured business that is possibly the largest, single brand in the industry. That might not double in size but we're expecting increases in that business. As an industry, the dress business is many times bigger than the coat business. It's a multibillion industry, so growth is available to us in many different avenues. It can be done in private label. It can be done through our licensed brands. It can be done through our company-owned brands. There's huge growth available for us if we handle it right.
Jane Thorn Leeson - KeyBanc Capital Markets Inc., Research Division: And my last question is just on the gross margin. How should we think about incremental gross margin expansion in 2013, given you had pretty strong margin expansion this past year?
Neal S. Nackman: We're forecasting probably flat to slight increases in our core business. And, of course, Vilebrequin will come in and that will disproportionally increase us. But, I think, if you look at the core business, we see cost to be pretty much not a significant factor for us. So we believe we'll be able to maintain to slightly improve our gross margins going into next year.
Morris Goldfarb: We also have Wilsons that all of a sudden has reached the scale that is significant to us and there's been a major margin improvement year-to-year and we're forecasting yet another significant increase for this coming year.
Operator: Our next question comes from John Kernan from Cowen and Company.
Morris Goldfarb: John? Operator, we might have lost John.
Operator: And it looks like he has disconnected. Our next question comes from Danielle McCoy from Brean Capital.
Morris Goldfarb: Operator?
Operator: I see no further questions at this time and would like to turn the...
Morris Goldfarb: Operator, can you check if we're still live or we're having trouble?
Operator: Yes, you are still live.
Morris Goldfarb: Okay, all right. I thank you very much for being with us and I apologize for a little bit of the complexity in our audio. Thank you very much for spending your time with us.